Operator: Good morning. Ladies and gentlemen, thank you for standing by. My name is Simon and I will be your conference operator today. At this time, I would like to welcome everyone, to the UGI Corporation Second Quarter, Full Year 2020 Earnings Call and Webcast. And after the speakers’ presentation, there will be a question-and-answer session. [Operator Instructions] Thank you. Ms. Zahora, Manager of Investor Relations. You may begin your conference.
Alanna Zahora: Thanks, Simon. Good morning everyone. And thank you for joining us. With me today are Ted Jastrzebski, CFO of UGI Corporation; Rob Beard, Executive Vice President of Natural Gas; and John Walsh, President and CEO of UGI. Before we begin, let me remind you, that our comments today include certain forward-looking statements, which management believes to be reasonable as of today's date only. Actual results may differ significantly, because of risks and uncertainties that are difficult to predict. Please read our earnings release and our annual report on, Form 10-K for an extensive list of factors that could affect results. We assume no duty to update or revise forward-looking statements to reflect events or circumstances that are different from expectations. We'll also describe our business using certain non-GAAP financial measures. Reconciliations of these measures to the comparable GAAP measures are available on slide 11 of our presentation. Now let me turn the call over to John.
John Walsh: Thanks, Alanna. Good morning and welcome to our call. I hope you're all safe and well this morning. And I hope that, you've had the opportunity to review our press release reporting second quarter results. There is no doubt that, Q2 of FY 2020 was a memorable quarter for UGI. First and foremost, our company our industry and our world were challenged by the onset of the COVID-19 pandemic. In addition, we faced one of the warmest weather quarters in our history and addressed the impact of a general strike in France our largest European market which commenced in December and carried into the second quarter. Despite these unprecedented challenges, we delivered a strong performance in the quarter posting the second best Q2 adjusted EPS in our history. On today's call, I'll comment on key activities in the quarter. Then I'll turn it over to Bob Beard and Roger Perreault, who will highlight several critical business initiatives executed in Q2. Ted, will provide you with an overview of UGI's financial performance. In addition to summarizing key elements of our Q2 financials, Ted will provide details on our cash flow and liquidity position at the end of the quarter and our expectations for the balance of fiscal 2020. Cash flow and balance sheet strength have always been a key element of our strategy. That focus is crucially important now and provides us with a great foundation for continued growth and investment. I'll then follow Ted, with an update on our strategic initiatives. Turning to our financial performance, our Q2 GAAP EPS was $1.07 and our adjusted EPS was $1.56. That adjusted Q2 EPS was 9% above our fiscal 2019 Q2 adjusted EPS of $1.43. As I noted earlier this is the second best Q2 adjusted EPS in UGI's history trailing only Q2 of fiscal 2018. Both the fiscal 2020 and fiscal 2019 quarters, have been adjusted for the mark-to-market valuation of unsettled hedges costs associated with our LPG transformation initiatives and other items that, Ted will cover later. On a year-to-date basis our adjusted EPS of $2.73 exceeds our fiscal 2019 year-to-date adjusted EPS by over 20%. We're really pleased, with the strong performance given the major challenge of warm weather across our entire business. Before I address our updated guidance I'd like to provide some details on UGI's response to COVID-19. We began to focus on, COVID-19 as a potentially significant issue in February as we followed global developments and began to see the impact in several European markets where we operate. Our senior team initiated regular COVID-19 planning sessions, to address critical safety operational and business risks associated with the pandemic across all geographies. Our primary focus areas, from the outset have been the safety of our teams and our three million customers and continuity of essential services we provide to those three million customers. By the conclusion of the second week in March, on a global basis we had launched our work-from-home plan for over 4,000 of our office-based team members and revised critical work practices to drive safe operations for over 7,400 of our field-based employees and our customers. While we did see some impact of COVID-19-related customer closures in March, the impact on our Q2 results was not material. We have seen some impacted commercial customers reopen in the past few weeks and expect these reopening activities to continue for several months. We remain largely in our COVID-19 work mode today. And we're developing a phased return-to-work plan that is location specific with phasing likely to last from three to six months, depending upon guidance provided by local authorities and the safety of our employees and customers. In addition, to the actions taken to address safety for our customers and our team, we've also been focused on understanding the impact of COVID-19, on the communities we serve. As a provider of essential services we recognize the urgent need for a broad range of key services to those impacted by the pandemic. We see particular needs in the area of food security educational continuity and temporary housing. For that reasons, we've announced a series of donations in the past month to food banks educational programs and emergency services agencies, who are seeing a surge in demand as our neighbors struggle with the economic impact of rising unemployment school closures and a strain on available social services. Together the company our employees and our directors have contributed more than $600,000 to food banks and other support agencies in our local communities. While the challenges have been significant our teams have done an outstanding job, operating in this new normal work environment. Our safety and customer service performance, over the past 60 days has been outstanding. We've seen a surge in demand in certain areas. And have seen other categories such as restaurants hotels and school bus fleets where demand has declined. The overall impact has been muted thus far but we do expect demand to be potentially impacted by the pandemic through the end of the fiscal year. Ted will provide more detail on our outlook during his remarks. I thought it would be helpful if Rob Beard and Robert Perreault commented on, key activities undertaken within their lines of business in Q2. Rob?
Rob Beard: Thanks, John. Our natural gas businesses performed well in Q2, especially considering the challenges brought on by the COVID-19 outbreak. And the headwind of weather that was 20% warmer than normal. While the full effect of the COVID virus on, our industry is somewhat unclear thus far both UGI Utilities and Energy Services have seen little impact on volumes and associated margins. Stripping out the effect of weather, both Utilities and Energy Services exceeded expectations in Q2, demonstrating that the underlying businesses remain quite strong. As a result of the COVID outbreak, in March, the Pennsylvania Public Utility Commission placed a moratorium on service terminations. Our team continues to closely monitor customer payment behavior and collectible balances. Through April we have not seen anything out of the ordinary relative to late payments. Because there's a degree of uncertainty around the effects of the COVID outbreak, UGI Utilities and our industry peers are investigating the possibility of seeking special regulatory treatment for COVID related costs. We will continue to work collaboratively with our regulators as together we learn more about this unprecedented situation. As we navigate the COVID outbreak, our primary focus remains on the safety of our employees and of our customers. Our teams at both natural gas companies have done an exceptional job, ensuring all critical work continues and that our key safety and customer service metrics have not degraded. Performance in these critical areas remains very strong. I continue to be proud of our teams as they work to ensure the energy needs of our customers are being met in the safest way possible. With an abundance of caution in late March, we suspended all non-emergency facility construction. I'm pleased to report that we have restarted construction activities as of May 4. We have established strict protocols to keep our employees, customers and the general public safe as we execute our work. Our plan is to execute the majority of our $400 million annual capital program at Utilities. As I mentioned during our last call in January, UGI Utilities filed a request with the Pennsylvania Public Utility Commission to increase natural gas rates by approximately $75 million. This rate increase is driven primarily by the significant amount of capital we are deploying. Utilities expects to spend $2 billion over the next four years, building rate base at a CAGR of 11.5%. The rate case process is progressing and we appreciate the efforts of all parties as they contend with the challenges of working remotely. Finally, I wanted to provide an update on UGI Appalachia formerly Columbia Midstream Group. Despite weather that was much warmer than normal and low natural gas prices in Q2, UGI Appalachia continues to perform very well. We continue to see margins outpace our investment case and we remain committed to building out these systems as additional production is brought to market. With that I will turn it over to Roger.
Roger Perreault: Thanks, Bob. There is little doubt that the second quarter has provided us with some important insights on our strengths and on our strategic initiatives. Let me begin by giving you an update on our transformation program at AmeriGas. We previously announced an initiative that included an investment of $175 million that will provide permanent benefits that will exceed $120 million over 24 months, of which $30 million will be realized in fiscal year 2020. We are pleased to say that during Q2, we didn't lose any momentum. And if anything, the new way of working in a COVID-19 environment amplified the need for technology enabled processes. Digitized business processes are a key component of driving efficiencies and a better customer experience. The need to adapt to COVID-19 protocols validated both the strategic direction and the need to continue to deploy resources and redesign processes as quickly as possible. I would like to emphasize that propane is an essential service for our customers and despite challenges introduced by the pandemic, safely and reliably delivering our products has been and will remain our top priority. Our reengineering efforts on work processes with the center-led team have been instrumental in operating during the COVID-19 environment. While our desired IT platform is not fully implemented, our teams were able to adjust. As we continue to develop our tools to streamline processes, we will use the learnings from our COVID-19 experience to shape our path forward as we seek to be more efficient and improve the customer experience. We are very pleased with the team's resourcefulness and ability to quickly adapt to a new way of working and serve our customers at such a critical time. During March, we did see segments of our U.S.-based business decrease while COVID-related lockdowns were rolled out. More specifically some business-to-business volumes and autogas were negatively impacted. Some of the decrease was offset by our cylinder exchange business and increased activity in residential volumes as shutdowns took place. Cynch our newly launched cylinder home delivery service also saw record level volumes in the cities where the service is available. Now a few words about our international LPG distribution business. Our European activities were impacted by COVID-19 several weeks earlier than here in the U.S. European governments put in place more stringent lockdown measures, which significantly affected our commercial segments in Q2. We are now starting to see some restrictions being lifted and we look forward to seeing how the recovery will unfold. Our European teams were also very responsive to the COVID-19 pandemic and provided a great deal of insight on how we could adjust operations here in the U.S. As mentioned at the beginning of fiscal year 2020, our international team is also focused on driving efficiencies with investments of €55 million that will deliver €5 million of savings in fiscal year 2020 and over €30 million by the end of fiscal year 2022. I am pleased to report these objectives are still on track and no slowdown has been experienced in the second quarter. In closing, we don't precisely know what the coming months will look like as we potentially exit from lockdowns across our international and U.S. based businesses. What we demonstrated in the second quarter gives me confidence that we're well-positioned for ramping up our activities during what is now our low season. We will remain focused on controlling the controllable. Safety for our employees and customers remains our top priority while we continue to execute our transformation efforts. As mentioned earlier, the second quarter provided excellent insights on our action plans and validated our digital transformation efforts. Driving efficiencies while enhancing our customer journey will deliver shareholder value. Now I will pass the call back over to John.
John Walsh: Thanks Roger. With respect to guidance, we feel that it's best to provide guidance with and without our estimated impact of COVID-19 over the balance of the year. We're updating our pre-COVID guidance to an adjusted EPS range of $2.45 to $2.55. While the impact of COVID-19 is still a challenge to fully determine at this time, we estimate that this impact will reduce EPS by approximately $0.20 to $0.30 over the balance of the year. The primary impact will be reduced volumes in our commercial sector with the most significant volume reductions in the restaurant hotel and transportation categories. We're providing a range due to difficulty in forecasting the exact timing and duration of recovery for the impacted commercial customers. I'll return later on the call to comment on our strategic initiatives, but I'd like to turn it over to Ted at this point for the financial review. Ted?
Ted Jastrzebski: Thanks, John. Before we get into quarterly results, I wanted to spend a moment talking about our liquidity position. Our philosophy has always been to maintain a strong balance sheet and this approach serves us especially well as we anticipate the challenges of the COVID-19 situation. On a consolidated basis, UGI Corporation had $1.2 billion in available liquidity as of March 31. Equally important, the financing capacity is well distributed across all of our business units. We are comfortably within our debt covenants and expect to remain so and there are no significant long-term debt maturity -- maturities until 2024. Like earnings, our working capital requirements and cash generation, are seasonal. We consume working capital during the first and second quarters as we build inventory for the heating season. The third and fourth quarters tend to have low working capital requirements and higher cash generation. Well from a timing perspective, we're entering the period when we're generating cash. Additionally, we're entering our cash generation period with greater capacity due to the historically low commodity prices in the first two quarters and we're benefiting from the incremental cash generated through our AmeriGas merger and the acquisition of the CMG assets now named UGI Appalachia. Altogether, these factors leave us confident with our ability to address any COVID-19 liquidity challenges. As mentioned, COVID-19 has impacted the timing of some of our capital expenditures not eliminated that. We expect to catch up on some of the projects still this fiscal year and execute on others next year. The delay in timing supports free cash flow in the current fiscal year. Lastly, we're proud to announce that we increased our quarterly dividend to $0.33 per share. This is the 33rd consecutive year that we've increased our annual dividend. We're proud to honor our commitment to shareholders and maintain strong liquidity, during these challenging economic conditions. Turning to our results. We delivered adjusted EPS of $1.56 versus $1.43 in the prior year period. Please note that the EPS figures for fiscal 2020 reflect an incremental 34.6 million shares issued in conjunction with the AmeriGas merger. Our reportable segment's EBIT was $527 million, compared to $551 million last year. Our second quarter results were not significantly impacted by the COVID-19 pandemic, but we do expect to face some headwinds in the third and fourth quarter. If we look at the quarter the international business experienced some volume loss from commercial customers but this was partially offset by the spike in cylinder sales we experienced at AmeriGas. In total, the LPG businesses had a $0.02 to $0.03 headwind related to COVID. The natural gas businesses were not materially impacted by COVID in the second quarter. As Bob highlighted, we have not seen any atypical payment behavior from utility customers but continue to monitor this closely. This table lays out our GAAP and adjusted earnings per share for fiscal 2020 compared to fiscal 2019. As you can see, our adjusted earnings exclude a number of items such as the impact of mark-to-market changes in commodity hedging instruments a loss of $0.43 this year versus a loss of $0.07 in the second quarter of fiscal 2019. Last year, we had a $0.02 gain on foreign currency derivative instruments compared to a $0.01 gain this year. Lastly, you can see we adjusted out $0.07 of expenses associated with our LPG business transformation initiatives. We don't usually get into too much detail regarding emerging tax strategy, but I wanted to take a moment to address a few significant shifts that are taking place. These relate to the anticipated treatment of the CARES Act and our foreign tax attributes, which largely offset one another. As a result of weather-related underperformance, we were unable to leverage foreign tax attributes, tax credits to the extent anticipated. This loss benefit is largely offset by a $19 million expected tax benefit resulting from the carry-back of tax net operating losses under the CARES Act. CARES benefit coupled with the release of reserves related to the closure of prior period tax audits allow us to net a $5 million benefit year-to-date, which we're currently projecting to reflect where we will finish the full fiscal year. We faced historically warm weather conditions in our second quarter, particularly in our natural gas businesses where weather was approximately 20% warmer than normal. Our LPG businesses faced similar headwinds as AmeriGas experienced weather that was nearly 10% warmer than normal, and the international business had another quarter of warm weather approximately 13% warmer than normal. Regardless, we delivered adjusted EPS of $1.56, a 13% improvement versus our second fiscal quarter last year. The AmeriGas merger, incremental margin from UGI Appalachia, new base rates at the Utility and expense management were the biggest drivers of the year-over-year improvement. Turning to the AmeriGas business. Again, weather was a major headwind in the quarter. Total margin decreased $60 million, predominantly driven by lower retail volumes sold and lower average unit margins. The AmeriGas team did a nice job of offsetting some of the margin loss associated with warm weather by reducing operating and administrative expense by $20 million versus Q2 of 2019. On our last call, Roger spoke about the business transformation initiatives underway at our LPG businesses. As Roger just mentioned, AmeriGas identified over $120 million of permanent operational efficiencies that we expect to be realized by the end of fiscal 2022. We called out a $0.07 adjustment to earnings in the second quarter related to LPG business transformation expenses. The majority of this expense comes from the AmeriGas business. We are now seeing benefits from these efforts across the two LPG businesses of over $10 million. UGI International achieved EBIT of $126 million compared to $130 million in fiscal 2019, a very strong result in a warm quarter. Despite weather that was 13% warmer than normal and 6% warmer than the prior year, UGI International's EBIT fell only 3% versus Q2 of 2019. This is largely the result of higher LPG unit margins and effective expense management. I should point out that not all the volume loss in the quarter is related to weather. We terminated a low-margin autogas contract in Italy, which accounted for roughly 35% of the volume reduction year-over-year. Lastly, we broke out realized FX gains from other income due to its significance in the quarter. Turning to the natural gas side of the house. Midstream & Marketing reported EBIT of $79 million in the quarter compared to $53 million in Q2 last year. UGI Appalachia was the main driver of the year-over-year improvement. Total margin, operating and administrative expenses, depreciation and amortization and other income all reflect the impact of the acquisition. We also benefited from our Auburn IV expansion coming online in our first quarter, higher peaking margin and a $3 million refund received in connection with pipeline contract rates. Capacity management margin remains low, due to low prices and warm weather. Lastly, total margin decreased at our Hunlock facility due to lower electric generation volumes. UGI Utilities reported EBIT of $116 million compared to $120 million in the prior year period. Total margin was roughly flat despite historically warm weather as a 17% decrease in core market volumes was partially offset by increased base rates effective October 11. The decrease in margin was also offset by a $10.5 million credit to rate payers of tax savings resulting from the TCJA in Q2 of 2019 that did not impact this quarter's results. OpEx was lower in the quarter, due mostly to decreases in contractor expenses and allocated corporate expenses. Lastly, our depreciation expense increased versus the prior year quarter due to continued distribution system and IT capital expenditure activity.  With that, I'll turn the call back over to John. John?
John Walsh: Thanks, Ted. While we're highly focused on continuing to successfully fulfill all of our critical obligations during the pandemic, I want to turn now to look forward to fiscal 2021 and beyond. One very significant development during the past quarter has been the dramatic fall in oil prices and the impact of that drop on production activities. This is particularly relevant to UGI's Midstream business, due to the significant reduction in associated natural gas production that will occur as oil production declines. We believe that the upward movement of the future strip for natural gas will have a positive impact on production activity in both the Northeast and Southwest regions of the Marcellus. We've already seen upward movement on nat gas pricing as the market adjusted to the new normal for oil production over the past month. UGI's gathering assets are well-positioned to efficiently serve increased production across our producer base. We can provide ready access to an improving market through expansion of existing networks that serve some of the most proliferate acreage in the Marcellus. One of the regions that is likely to see increased activity is the Southwest Marcellus. Last year's acquisition of the Columbia Midstream assets, now known as UGI Appalachia, positions us well to serve an increase in production activity. As Ted noted earlier and Bob, we're very pleased with the performance of our UGI Appalachia assets since the acquisition. Over the first six months of fiscal 2020 total volume shipped on those five systems increased 14% from prior year levels. The strength of our shipper volumes during a period of low commodity prices provides us with significant confidence that our systems will be a preferred route to market for the producers we serve. Our systems in the Northeast Marcellus will also benefit from the significant changes underway in the natural gas sector. Our Auburn system serves most -- some of the most productive dry gas acreage in the Marcellus. Producer shipments on the Auburn system grew by over 90% over the first six months of fiscal 2020 as our Auburn IV expansion came onstream. As we've previously noted, the majority of our margin from UGI systems in the Marcellus is derived from take-or-pay fees under long-term contractual arrangements. Our Midstream and Marketing team continues to build out its LNG asset network. We see rising demand for peaking services as LDCs and end users respond to regional supply constraints resulting from pipeline delays. In response to that rising demand, we're well along in the construction of our new LNG storage and vaporization facility near Bethlehem, Pennsylvania. This $60 million project will add 2 million gallons of LNG storage to our network. It will enhance our supply position to meet the rapidly growing demand for LNG and strengthen our ability to use our LNG system assets dynamically based on market conditions. As Roger indicated, we're making excellent progress on our LPG transformation programs in the U.S. and Europe. We remain on track and will meet or exceed the commitments that we laid out for fiscal 2020 cost savings from these initiatives. We've also gained new insights from our work over the past 2 months to 3 months as we changed many of our field and office-based activities in response to the pandemic. In a number of cases, we'll incorporate these new ways of working into our plans as we resume normalized operation. One final performance-related point I'd like to highlight is the strength of our cash flow and liquidity. Ted noted, our cash flow performance during his remarks. This has long been a core strength of the company and it becomes particularly relevant during periods of capital market stress or economic uncertainty. Fiscal year 2020 will be another very strong year for free cash flow and we'll enter fiscal 2021 in a great position to fund our growth investments, strengthen our balance sheet and pay our dividends. Speaking of dividends, Ted mentioned that the confidence in our cash flow was reflected in our Board's decision in April to increase UGI's dividend for the 33rd consecutive year with this most recent increase the compound annual growth rate for our dividend over the past five years was just under 8%. While Q2 was a very challenging quarter in numerous respects, it was also a very positive quarter for UGI. I believe our performance was another clear demonstration of the resiliency and strength of UGI's businesses. We look forward to seizing the opportunities that will emerge in the coming quarters as the U.S. economy and the energy sector proceeds through this period of major change. With that, I'll turn the call back over to Simon, who will open it up for your questions. Simon?
Operator: Thank you. [Operator Instructions] And we have a question from the line of Shneur Gershuni with UBS. Your line is open. 
Aga Zmigrodzka: Good morning. This is Aga Zmigrodzka on Shneur's behalf. Thank you for the color on the UGI Appalachia. Could you please provide more updates on your latest discussions with producers? Are your customers will capitalize and potentially could accelerate activity in 2021 if natural gas prices remain at current strip?
John Walsh: Sure. Thanks, Aga. Yes we're in active discussion with producers. Obviously, every producer is in the process of assessing the impact of the most recent movements on their own capital deployment plans. I think the important factor for us is we have available capacity on certain systems. So we can accommodate additional flow immediately for some of these producers, which is really attractive with minimal incremental capital investment on their part, or it certainly represents in many cases their most efficient option for increasing production or increasing flow from their acreage to our systems and onward to market. So I would say the discussions are quite active. They're looking at the movement and some of the positive movement, particularly over the last month. And we're really happy with kind of the experience we had over the first six months in terms of continued growth in the flows in our systems. So I would characterize them as active discussions. The market is dynamic. I think those could accelerate as the impact of the shutdown of oil drilling in other basins has the incremental impact on nat gas valuations. So we'll just stay in active contact with our producer customers and make sure they fully understand the options we have to move additional volumes for them.
Aga Zmigrodzka: Perfect. You discussed some scenarios assumptions included in the $0.20 to $0.30 range of COVID-19 impact. How will it impact your leverage? And what is expected leverage at the end of this fiscal year?
John Walsh: Sure. I'll comment on that briefly Aga and then I'll let Ted comment as well. Obviously, the – trying to estimate the impact of COVID is challenging. What we wanted to do was use our experience that we're seeing in Europe and provide a basis – provide an estimate of that impact, assuming that it will be a sort of a moderated reopening of activities, which is what we're seeing in Europe. So it's certainly a challenge to forecast but we wanted to be as specific as we could be. Assuming that the impacted commercial activities would over the balance of this fiscal year kind of return to normal levels that's certainly subject to change. And we would keep investors updated, if for example, those activities accelerated across the U.S. at a pace that's faster than we've seen thus far in Europe. With that I'll let Ted comment.
Ted Jastrzebski: Yes. Good morning, Aga. I guess, what I would say is there's really nothing that's changed about our strategy for managing leverage and managing our ratios. What may change about that is the timing on how we see that affected. We continue to expect to be paying debt down over time. As we see cash flow increase from our investments in Appalachia for example, we may see the leverage rates come down at a little bit slower rate than what we had anticipated previously. But nothing has really changed about the prioritization. We expect to see AmeriGas paying down debt over time. We expect to see our corporate debt be reduced over time also as our cash flows continue to increase with the investment opportunities that we have.
Aga Zmigrodzka: Thank you for taking my questions.
Operator: And there appears to be no further questions at this time. I will now turn it back over to Mr. Walsh for any closing remarks.
John Walsh: Okay. Thank you, Simon and thank you all for your time this morning. We'll certainly keep you updated as things progress and look forward to speaking to all of you again very soon. Take care.
Operator: Ladies and gentlemen, this concludes today's conference call. You may now disconnect.